Operator: Good morning. My name is Scott and I will be your conference operator today. At this time, I would like to welcome everyone to the Altra Q1 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions]. Thank you. Ms. Ryan Flaim from Sharon Merrill Associates, you may begin your call.
Ryan Flaim: Thank you, and good morning everyone, and welcome to the call. To help you follow management's discussion on this call, they will be referencing slides that are posted to the altramotion.com website under Events & Presentations in the Investor Relations section. Please turn to slide 3. During the call, management will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently uncertain and investors must recognize that events could differ significantly from management's expectations. Please refer to the risks, uncertainties and other factors described in the company's quarterly reports on Form 10- Q and Annual Report on Form 10-K, and in the company's other filings with the U.S. Securities and Exchange Commission. Except as required by applicable law, Altra Industrial Motion Corp. does not intend to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. On today's call, management will refer to non-GAAP diluted earnings per share, non-GAAP income from operations, non-GAAP net income, non-GAAP operating income margin, non-GAAP adjusted EBITDA, non-GAAP operating working capital, non-GAAP net debt and non-GAAP free cash flow. These metrics exclude certain items discussed in our slide presentation and in our press release under the heading Discussion of Non-GAAP Financial Measures and any other items that management believes should be excluded, when reviewing continuing operations. The reconciliations of Altra's non-GAAP measures to the comparable GAAP measures are available in the financial tables of the Q1 2019 financial results press release on Altra's website. Please turn to Slide 4. With me today are Chief Executive Officer, Carl Christenson and Chief Financial Officer, Christian Storch. I'll now turn the call over to Carl.
Carl Christenson: Thank you, Ryan and good morning everyone. Please turn to Slide 5. We began the year with a strong first year that reflects the financial and strategic benefits of the A&S business combination and the new $1.9 billion Altra. First quarter revenues grew to $482.8 million more than double the prior year quarter due to the addition of the A&S business. Excluding the effects of foreign exchange, net sales for the legacy Altra business were up 1.2%. Net sales for the recently acquired A&S business increased 2%. It is important to note that the A&S business growth is compared with management's estimates of unaudited A&S financial results from the same quarter of 2018. GAAP net income was $35.2 million, or $0.55 per share compared with $0.31 for the year ago quarter. Non-GAAP EPS in Q1 2019 was $0.80 per share, or an $0.08 increase over the prior year quarter. The addition of the A&S business has continued to have a favorable effect on our earnings. GAAP gross profit margin was 36.2%, a 530 basis point improvement compared with the year ago quarter. Non-GAAP operating income margin grew by 630 basis points to 18.2% and non-GAAP adjusted EBITDA was $105 million with the non-GAAP adjusted EBITDA margin of 21.7%, a 640 basis point improvement from Q1 '18. With the tactical integration of the A&S business complete, we were able to drive indirect and direct cost improvements through supply chain management. Combined with our successive leveraging pricing actions, these benefits are offsetting input cost increases related primarily to commodity inflation, freight and logistics and tariffs. During the quarter, we continued to deliver on our strategic priority to expediently de-lever the balance sheet. We paid down $15 million of debt in the quarter and exited Q1 with 3.9 times net debt to non-GAAP adjusted EBITDA leverage. As a reminder, we typically use the most cash in Q1 and expect to ramp up our pay-down of debt in the last three quarters to reach our goal of paying down a total of $130 million in 2019. With that as an introduction please turn to Slide 6 and I'll provide you with an update on the integration of the Automation & Specialty platform businesses. The integration of A&S and Altra continues to advance exceptionally well. The tactical stage of the integration is now behind us and we have shifted our focus to advancing our strategic initiatives and driving the synergies. During the quarter, we made excellent progress with our cross-selling activities. We launched our sales collaboration program to align incentives and training and our lead sharing activities are exceeding our expectations. We moved production out of a facility in China that was shared with another Fortive business and relocated to a dedicated facility on time and on budget. In addition, we announced the closure of a significant facility in the U.S. We will be relocating that production to three other existing U.S. facilities, which will better align production and reduce overhead costs. We also made meaningful progress with our supply chain optimization efforts. We have begun to capture indirect spending savings and are starting to make progress on certain categories of direct spend. We remain very pleased with how well our two cultures have come together. Across the organization we are working to align our performance drivers with our core values and guiding principles. This includes implementing associate development activities and integrating our world-class business systems across the company. The addition of A&S has meaningfully enhanced Altra's ability to drive growth and value creation for our shareholders, customers and employees. We're extremely pleased with our progress integrating the business and are confident that we remain on track to deliver $10 million to $12 million of synergies in 2019 and a total of $52 million of synergies by the end of year four, and achieve our target leverage metric of less than 3-times net debt to adjusted EBITDA by the end of 2020. Please turn to Slide seven to review our end markets. Compared with the same quarter of last year, we saw a double-digit growth in both oil and gas and the renewable segments of our energy market. This was primarily the result of favorable comps as we saw a sequential decline in sales from a very strong fourth quarter. The original equipment market for oil and gas has improved, while the aftermarket business was relatively soft. The Wind Energy business continues at a healthy level, while our Power Generation business improved from a relatively low level. The transportation market was up single digits in the first quarter. We expect the U.S. truck market to perform well through most of 2019. However, we anticipate that demand could soften as we exit the year. Demand in China held steady through Q1 and new projects and customers in the pipeline remain strong. Demand in factory Automation & Specialty machinery was down double digits in Q1, primarily due to tough year-over-year comps, continued weakness in the semiconductor, electronics and robotics markets as well as overall weakness in China. On a positive side, there are signs that demand will begin to improve in the second half of the year. Looking ahead, we remain optimistic about Altra's opportunities in these exciting markets. The medical equipment market remained strong through Q1, up single digits with growth driven by strength from surgical power tools, surgical robotics, diagnostics and oncology. The metals and mining markets were strong in Q1 supported by good demand in mining, which was up double digits. Metals dropped slightly in Q1. However, we have begun to see strong inquiry activity and have booked new OEM projects. In addition, we started to see CapEx spending in both segments begin to pick up. Defense was very strong in Q1 with double-digit growth. And finally, our core distribution business was down single digits in Q1, we continue to expect distribution sales growth at a lower rate in 2019 due to tougher comparables. Overall, while growth moderated in several markets as we expected going into the year, we remain excited about our new growth markets and we are encouraged by the ongoing strength in several of our historic markets. Additionally, we are optimistic that the sentiment for the overall macroenvironment is more positive including an improved outlook in China and Germany, which are key geographies for Altra. In fact it was recently reported that in March 2019, the Ifo Business Climate Index for Germany rose 0.9 points from a month earlier to 99.6, the first increase in German business outlook in seven months. We expect our pricing actions to continue to offset cost increases and we'll monitor potential secondary impacts from the tariffs and other factors that could have a negative impact on the global economy. In addition, foreign exchange is expected to continue to be a headwind in Q2 and then begin to ease in Q3. With that, I'll turn the call over to Christian for a review of our financial results. And then I'll come back to provide you with an update on our strategic priorities going forward. Christian?
Christian Storch: Thank you, Carl and good morning everyone. We would start reviewing our first quarter financial results, where we once again delivered best-in-class performance metrics in the industrial manufacturing industry. Excluding acquisition-related and restructuring-related expenses, we delivered gross margins of 36.2%, non-GAAP operating income margins of 18.2% and non-GAAP adjusted EBITDA margin of 21.7% in the first quarter. As a reminder, we are reporting results in two segments the Automation & Specialty segment and the Power Transmission Technologies segment, representing the legacy Altra businesses. Before I review the details of our first quarter financial results, I would like to note that results for the first quarter of 2019 include the recently acquired A&S businesses. Unless otherwise noted, results for Q1 2018 do not include pro forma A&S results. Please turn to Slide 8. As Carl noted, first quarter sales of $482.8 million were more than double the prior year period. Organic growth was 1.6%, as legacy Altra business improved 1.2% organically and the A&S businesses grew 2%. Foreign exchange rates had a negative effect of 320 basis points. On an unaudited pro forma basis, sales grew 1.9% in North America, declined 5% in Europe and declined 5.6% in Asia and the Rest of the World. Excluding the impact of foreign exchange, sales in Europe grew approximately 3%. Pricing power continues to be a contributor to our top-line growth rate, delivering 80 basis points, as we continued with our strategic pricing efforts. Results came in at the high end of our expectations, non-GAAP EPS of $0.80 per share was up 11.1%, when compared to $0.72 per share in the year-ago quarter. The provision for income taxes in the first quarter of 2019 reflects an estimated annual tax rate of 23.9%. This rate excludes a discrete tax benefit of $575,000 for the vesting of stock-based compensation awards with associated tax deductions in excess of cumulative U.S. GAAP compensation expense. This full year tax rate is lower than initially estimated, as our tax planning efforts are starting to pay off. Non-GAAP adjusted EBITDA was $105 million for the first quarter, or 21.7% of net sales. Please turn to Slide 9. In terms of cash, our top priority continues to be paying down debt and to de-levering the balance sheet following the A&S combination. Operating and free cash flows were significantly higher than in the prior year's first quarter due to the contribution of the A&S businesses. Operating cash flow of $39.3 million and free cash flow of $25.3 million allowed us to pay down $15 million of debt in the first quarter, which is seasonally our lowest free cash flow quarter. We exited the quarter with leverage of 3.9 times net debt to adjusted EBITDA and we expect to significantly accelerate the debt pay down in the coming quarters. Capital investments totaled $14 million for the quarter and depreciation and amortization was $32.1 million. Please turn to Slide 10 for a review of our outlook for 2019. Today we are reiterating our top-line and profitability guidance for the full year 2019. Please see a GAAP to non-GAAP reconciliation table on Slide 14 of the presentation. We expect annual sales growth for the new Altra to be between 1.5% and 3% to a range of $1.92 billion to $1.95 billion compared with unaudited pro forma sales for 2018. At current exchange rates, where we face the meaningful headwind through the first half of 2019, which will ease in the third quarter and subside in the fourth quarter. As previously indicated, following the A&S combination we began to exclude acquisition-related amortization, net of tax from non-GAAP net income and non-GAAP EPS. We expect non-GAAP adjusted EBITDA in the range of $415 million to $430 million and free cash flow conversion well above 100% of net income. We expect to pay down a total of $130 million of debt in 2019 to exit '19 with a net debt to non-GAAP adjusted EBITDA leverage of approximately 3.5 times. We expect net income in the range of $136.1 million to $141 million and non-GAAP net income in the range of $195.4 million to $205.8 million. GAAP diluted EPS is expected in the range of $2.10 to $2.18 and non-GAAP diluted EPS in the range of $3.02 to $3.18. We expect depreciation and amortization in the range of $130 million to $140 million and capital expenditures in the range of $60 million to $65 million. We expect our normalized tax rate for the full year to be in the range of 24% to 25.8%, a reduction from our previous guidance of 25% to 26.5%. While we are reiterating our guidance today, it is important to note that even in the high-end of the profitability range is dependent on improved market conditions in the second half of the year for some of the our softer end markets we serve. Also we expect the second quarter performance to be generally in line with our first quarter performance. With that, I'd turn the discussion back to Carl.
Carl Christenson: Thank you, Christian. Please turn to Slide 11 and I'll review our three strategic priorities going forward as the new Altra. The first priority is to flawlessly execute on the integration of the A&S business in order to deliver on our $52 million synergy target. We've already made excellent progress. The cultural merger of the two businesses is well under way, our sales team collaborations are ahead of expectations and we are excited by early supply chain optimization wins. In addition, we've begun to implement best practices across the organization from a world-class business system to deliver improved organic growth and cost savings. Second, it is a strategic priority to expediently de-lever to our target range of 2 to 3 times net debt to adjusted EBITDA and strengthen the balance sheet. Since Q4 2018, we've paid down $35 million of debt and believe we are well positioned to continue to do so, by leveraging our enhanced financial scale and excellent free cash flow. And third is our focus on accelerating top-line growth, by leveraging our proven business system tools, strategically infusing capital and capitalizing on technology sharing, we're feeling many exciting new business and new product opportunities. We'll be showcasing several of these new technologies at our upcoming Investor Day that we are hosting on May 14th in New York City. And as we have noted in the past, once the net debt to adjusted EBITDA leverage ratio has returned to our targeted range of 2 to 3 times, we will begin to build the expanded pipeline of M&A opportunities, so that we are prepared to support long-term growth. In conclusion, this is a very exciting time for Altra, as a $1.9 billion premier industrial company, we are solidly positioned with an expanded portfolio of technologies, increased exposure to end markets with attractive secular trends, a proven world-class business system and strong free cash flow generation. While demand in some end markets has moderated as expected, we remain encouraged by the ongoing strength in several markets we serve, as well as the improving overall macro sentiment. We look forward to keep keeping our shareholders updated, as we journey forward as a premier global technology leader in our industry. With that, I'd like to turn it back to the operator to open the call to your questions. Scott?
Operator: [Operator Instructions] Your first question comes from the line of Jeff Hammond with KeyBanc. Your line is open.
Jeff Hammond: Really helpful color on the combined entity, I appreciate that. Just on the Germany-China comment. You mentioned some macro indicators, but can you just talk about in the areas, where you're seeing weakness in those markets? What you're seeing and hearing from your customers, as you move into 2Q and as you think about visibility into the second half?
Carl Christenson: I think most people believe that the weakness in the robotics and hi-tech industries, electronic assembly equipment, et cetera, is a short-term blip. So, at least that's what we're hearing, is that they expect the second half of the year to start to pick up. And I think as you look at some of the outside indicators that might indicate that the semicon stocks have been performing very well. So, that gives us some confidence that those comments might be true. And obviously we won't know until we start to see bookings pickup in that area. Then I think the other area Jeff, that's maybe global would be oil and gas, where we're seeing some weakness in after markets and rigs counts down et cetera. It's a mix of two worlds, where we've seen nice incoming orders that we hadn't seen for a few years on some new rigs and on some high horsepower rigs, but the aftermarket business has been particularly weak. So, we hope that, that aftermarket price of oil being up, picks up later in the year also.
Jeff Hammond: Just on the legacy Altra business, the margin improvement was pretty notable on muted sales growth. Can you just talk about what was driving that? If you're capturing any early benefits from best practices you glean from A&S? Thanks.
Carl Christenson: Yes. So, I think that was the plan that the A&S business system will help to drive performance on the PTT side. And I think the synergies, when we look at the synergies, a lot of the synergies accrue to the Altra side, mainly on the procurement side. There we see some nice benefits coming through on the Altra side. The other part is that we continue with the strategic pricing program on the PTT or legacy Altra side as well. And if you look at inside of the three businesses that make up legacy Altra, we always pointed out in the past that our CCB business is the one that's benefiting from recovery in mining and oil and gas. And therefore we've seen some nice margin improvements in that piece of our business.
Operator: Your next question comes from the line of Scott Graham with BMO Capital Markets. Your line is open.
Scott Graham: So, I wanted to maybe just frame your answer to the previous question. You said to get to the high-end of things you need to see improvements in couple of markets. I think what you just said, I think, those are the markets, essentially factory automation, specialty machinery and oil and gas aftermarket. Are those the markets you need to see better more levity in the second half?
Carl Christenson: Yes. We also need to see that the Class A truck market hangs in there for the balance of the year, it doesn't fall off a cliff like at the end of the third quarter for instance. We need to see continued strength in the wind market that we've seen in the first , that we predict for the first half of the year and hopefully a modest recovery in the robotics and semi-markets. I think that's an important part of what we need to see in order to hit the high-end.
Christian Storch: And the other one Scott would be turf and garden and I think that's been out there publicly quite a bit that the turf and garden and ag, somewhat due to weather has been slow start this year. So, hopefully grass starts to grow.
Scott Graham: I guess that's a lot of markets that need to improve to get to the high-end. What's -- because you beat, I think expectations, most of us in the quarter--
Carl Christenson: I don't think we need them off.
Scott Graham: When you say hit the high-end, are you talking about organic sales? Are you talking about operating margin? Are you just essentially talking about earnings?
Carl Christenson: I was actually talking about earnings and high-end of the range of our EBITDA projections of $430 million and that requires that we see some top-line in the second half. And yes it's a lot of markets, but please we recognize that we are serving a lot of markets, and therefore, while there is a number of markets that are doing very well. There are some markets like semiconductor that in the first half are really suffering and hurting the performance.
Scott Graham: Fair enough. I want to maybe just get back to the price cost thing. Carl you commented, I thought you commented on that price plus supply chain is will exceed your natural cost inflation, I'm sorry freight commodities and tariffs, when you take price and supply chain it will be more than that. And then I thought I heard you say that you expect to offset things with price. Am I understanding you correctly on those two comments, those are…
Carl Christenson: Yes we have.
Scott Graham: That with consistency there, again I just wanted to make sure, I got it right.
Carl Christenson: Yes. No, that's correct. Then we have had a significant effort to make sure that we've been raising prices through the -- through last year and the beginning of this year. And I think we're starting to see that flow through and indicates that we are offsetting those cost increases.
Scott Graham: So a lot of the planning in strategic activities behind the integration of the two entities is now, a lot of that is done. So, if we were to not see the improvements in the markets you're thinking of here, can we pull forward some of the synergies to backstop that in EBITDA?
Christian Storch: I think you've seen us in the past, where we've had downturns in the economy, we've done everything we can to manage the margins and to protect the margins. So, absolutely, if we don't -- there is levers that we can pull and actions we can take to make sure we protect the markets as best as possible.
Scott Graham: But you're not pulling those levers now. You might however after the second quarter, if you don't see that, those improvements emerging. Would that be a fair statement?
Carl Christenson: That's a fair statement. Sure.
Operator: [Operator Instructions] Your next question comes from the line of Michael Halloran with Baird. Your line is open.
Michael Halloran: So just let's talk a little bit about the cadence through the year from an EBITDA perspective. I think the prepared remarks you said 2Q looks roughly similar to the first quarter. Normally I think sequentially it's up slightly into the second quarter implies relative stability with EBITDA front half versus back half, normally back half a little lower than front half. So, maybe just talk about that cadence through the year and if the more even spread between EBITDA, just tying of synergies, timing of end markets and how you're thinking about that cadence as we move forward?
Christian Storch: Yes. So, what's really hurting us particularly in first half is FX. If you look at the impact that FX had on, on the first quarter EBITDA is around $3 million. If you take that times two, you're talking about headwind of $6 million in EBITDA. We hope that, that will disappear in the second half and will give us some tailwind in the second half. That's one big driver. And then we do believe that we will see similar seasonality as the legacy Altra business has experienced in the past. We are roughly 50.5% of the revenues in the first half of the year and the balance in the second half of the year. And that profitability in the second half is slightly below from the first half of the year. And somewhere it will be typically for EBITDA, we'll see how FX plays out and what we can do to, to improve the EBITDA in the second half.
Michael Halloran: And then timing of the synergy run rate, is that, that more back half weighted, or is that pretty evenly spread?
Christian Storch: It's we think in the first quarter we realized somewhere between $2 million and $2.5 million of synergies and we think that will ramp up in the second half.
Michael Halloran: Makes sense and then on the corporate line, Christian, what we use as a run rate for the corporate line from here?
Christian Storch: So our policy is to allocate most of the corporate expenses out to the segments and the underlying business units. I think first quarter is a good indication of what that run rate should be for the balance of the year.
Operator: Your next question comes from the line of Jeff Hammond with KeyBanc. Your line is open.
Jeff Hammond: Just back on the cadence. I know seasonally typically the second half is a little lighter. But just as you think about those $10 million to $12 million of synergies, do those build through the year, where you have an opportunity to even that out?
Christian Storch: So, we're going to have some ability to even that out. And we will -- I don't think we'll completely eliminate that seasonality, but it will soften it.
Jeff Hammond: Okay. And then I think you said last quarter, PPT you see growth in that 1.5% range and A&S toward the 3%. Is anything changed within your thinking there just given the moving pieces in end markets?
Christian Storch: The growth rate of A&S side in the first quarter has really been tampered by the developments in the semiconductor industry mainly impacting our Kollmorgen business. Some of those trends, as Carl mentioned in his remarks we expect that those will reverse in the second half. But that has tampered the growth rate for that segment. On the PTT side, the legacy Altra side, I think the main impact on that lower growth rate of 1.2% was turf and garden was the ag market, the seasonality of the turf and garden was weather. We hope that we can recover some of that in the second quarter, but those have been very soft spots in the first quarter.
Operator: There are no further questions at this time. I will turn the call back to over to CEO, Carl Christenson.
Carl Christenson: Thank you all for joining us today. We look forward to seeing many of you at Altra's 2019 Investor Day on May 14th in New York City. For those of you interested in joining us or participating in the webcast, please visit our website for more details. Have a great day.
Operator: This concludes today's conference call. You may now disconnect.